Ian J. Webber: Thank you. Good morning everybody, and thanks for joining us today. We hope that you’ve been able to look at the earnings release that we issued earlier on and been able to access the slides that accompany this call. As usual, the first two slides remind you that the call may include forward-looking statements that are based on current expectations and assumptions and are, by their very nature, inherently uncertain and outside of the company’s control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation. We also draw your attention to the Risk Factors section of our most recently filed Annual Report on Form 20-F, which was or is for 2014 and was filed with the SEC on April 21st, this year. You can obtain this via our website or via the SEC. All of our statements today are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, you should refer to the earnings release that we issued earlier on today. I’ll start today’s call by brief reviewing the third quarter and providing an overview of our fleet and our growth strategy. After some comments on the container shipping industry and the vessel acquisition environment from Tom Lister, our Chief Commercial Officer, our CFO Susan Cook will give an overview of our financials, then after some concluding remarks from me. We would be pleased to take your questions. Slide 3, shows our highlights for the third quarter. We continue to achieve a high level of operational performance earning stable and predictable cash flows from our long-term fixed-rate time charters. We generated $42.2 million of revenue and that drove $28 million of adjusted EBITDA. During the quarter, we completed on the purchase of the OOCL Ningbo, an 8000 TEU vessel, which delivered on September 17th and immediately commenced the fixed-rate time charter back to OOCL for a period of between 36 and 39 months and a rate of $34,500 a day, very similar to the previous two transactions. So now two transactions, sorry three transactions with OOCL in the past 12 months or so all on their identical returns which have increased our run-rate EBITDA by more than 35% since Q3, 2014 and have allowed us to initiate and maintain a dividend. To that point, we have a dividend $0.10 per Class A common share for third quarter payable on November 24, 2015 to shareholders of record on November 16, 2015. Subsequent to the quarter-end and with challenging near-term re-chartering prospects, and imminent 2015 CAPEX requirements, we agreed to sell our oldest vessel by 4100 TEU 1996 built Ville d’Aquarius, after her most recent charter completed, which was actually a few days ago on October 29th. We achieved a sale price of $333.50 per ton generating net proceeds of approximately 4.5 million. In the last year or so, we have also received 30 days notice of redelivery of d’Aquarius sister ship, Ville d’Orion. Given the reasonable possibility of similarly disposing of the Ville d’Orion, we have written both vessels down as at September 2015 to their estimated net realizable values, resulting in a non-cash impairment charge of $44.7 million in the third quarter. Excluding net impairments, our net income for the quarter was $3.6 million compared to a loss of $2.2 million for the equivalent quarter last year. All other vessels are on multiyear fixed rate contracts with the next charter expose not taking place until late 2017. Turning to slide 4, we have outlined further the sustainability and growth potential of our dividend. During Q3, we generated $14.2 million of cash available for distribution which is enough to cover the quarter's dividend by three times. Going forward with $835 million in contracted revenue, our strong consistent cash flows from high quality counter parties enable us to both support the dividend and to pursue accretive acquisition opportunities. We had growth and as we indicated in the last quarter’s call our Board has signaled its intention to raise the dividend by 25% to $0.1225 per share or $0.50 annualized once we have enjoyed a full earnings contribution from Ningbo in the fourth quarter of this year. I am pleased to reaffirm that intention. Slide 5 illustrates our consistent financial and operational performance over the years. Despite the volatility in the spot markets which are shown at the chart -- in the chart at the top of the page, we remain insulated as a result of our long-term fixed-rate time charters from the short-term market, which allows us to achieve steady results from quarter-to-quarter as evidenced in the table at the bottom of the page. You will notice the significant contribution to earnings from OOCL vessels that we have added to our fleet in recent quarters. Additionally, I would like to point out that we achieved 99.9% vessel utilization in the quarter, which is in line with our previous performance throughout our existence. Our consistent success in maximizing operating days and this is up time, we can’t charge our charters rents for the ships if the ship is broken down. Our consistent success in maximizing operating days allows us to realize the full value from our charters and importantly continues to add strength to our relationship with our charters to count on GSL to provide reliable high quality tonnage in a highly customer sensitive business. We have no further regulatory dry docking scheduled for this current year. Those affect our uptime as well of course. Turning to slide 6, you will see that our fully contracted fleet and charter portfolio. As of September 30th as I mentioned we had $835 million in contracted revenue and the average age of our fleet was approximately 11.5 years out of an economic life of 30. As noted, we are in the process of selling our oldest vessel Ville d’Aquarius when she is divested, our average fleet age will reduce, whilst also reducing our exposure to the spot market over the next two years. As noted before, with no other renewals before the end of 2017 other than the Ville d’Orion, d’Aquarius’ sister which I have already discussed. Excluding that limited spot exposure which course will be completely eliminated if we also sell Orion although I would stress that as of now no definitive decision has been taken, our weighted average contract term is 5.1 years. So that $835 million of contracted revenue is on average spread over 5.1 years. On slide 7, you can see our strategic vision for the future of GSL. We are focused on maintaining a quality of fleet of vessels charted out on long-term contracts that are both insulated from freight markets and by their contract from fuel costs. Given the continuation of cyclically low asset values which Tom will come back to, we believe that this continues to be an opportune time to pursue fleet expansion, as we have been doing for more than a year now. In line with our long-term growth oriented chartering strategy we are focused only on those potential acquisitions that will be immediately accretive to earnings and cash flow. As a result of tax charter with a high quality counter party, rather than looking for distressed vessels which you can purchase potentially at low prices but only trade in the spot market with all the volatility and exposure that brings. In this acquisition process, we would seek to further diversify our charter of portfolio with additional industry leading names. In an environment that continues to be marked by limited access to traditional sources of capital, we have had notable success in accessing diverse sources of non-diluted capital to fund our growth. Our most recent vessel acquisition was funded in part with the proceeds of $35 million new credit facility which was agreed at the end of July and the full details of which we will file with the SEC shortly. In addition to funding growth, we have opportunistically enhanced our balance sheet when market conditions allow issuing perpetual preferred shares August 2014 and of course the opportunistic re-financing of our old credit facility by issuing $420 million of high yield notes in March 2014 at a 10% coupon. These notes become callable from April 2016, so in only a few months time. Finally, we believe that our business models focus on stable long-term contracted revenues makes us an ideal vehicle for the payment of a sustainable potentially growing dividend to our shareholders. And as such we were pleased to introduce a dividend, starting in the second quarter of this year. And as I have noted, our Board has indicated that with the full quarter of earnings contribution from the newly acquired Ningbo to be delivered in the fourth quarter, the contribution to be delivered not the vessel, GSL intends to raise its dividend for that quarter by 25% to $0.1250 per share. Moving to slide 8, which will be familiar to most of you, I will just give a brief outline of the three growth transactions that we have completed with OOCL over the last year or so. Through structured sale and leaseback transactions we have acquired three 8000 TEU vessels built between 2004, 2005 with a 36 to 39 month charter attached back to the seller, which jointly these three vessels increase our contracted revenue by $113 million to $123 million, and increase annual EBITDA duration capacity by more than $28 million or over 35% on a run-rate basis in a little over a year. We believe that there are more opportunities along these lines in the market and the continuing distressed conditions of the industry may create further opportunities for us and the persistence of cyclically low asset values makes the present time an attractive time to pursue them. As we turn to slide 9, I would like to hand the call over to Tom for some comments on the current state of the overall container shipping industry.
Thomas A. Lister: Thanks Ian. Good morning everyone. As we see it, the state of the broad container shipping industry can best be understood in two quite different time periods, a difficult near-term which we are almost entire insulated from and a rather more promising mid-term which is considerably more relevant for Global Ship Lease. So turning to slide 9, after an encouraging first half of the year, the container shipping industry is now facing headwinds as demand growth has fallen below expectation. As you can see from the chart from the slide, freight rates have come under pressure in the liner sector with the Asia, Europe trade hardest hit. Fortunately for liner operators and this is reflected in their first half results, fuel prices have fallen even faster, offsetting the economic impact of low rates. Operators are now implementing general rate increases or GRIs to bolster freight rates going forward and spot market freight rates are reportedly up by around $600 to $750 per TEU respectively on the Asia Mediterranean and North Europe trades. Moving to slide 10, you can see that spot market charter rates which is the red line have been equally volatile spiking during the first half of 2015, when we renewed charters on our two spot vessels before coming under increasing pressure in the third quarter. This suggests that at this time supply demand tension is delicately poised in the mid-size and the smaller tonnage segments that make up a lion share of the charter market upon which we are focused. Prices of second hand tonnage having track spot rates up are expected to stay under pressure in the near-term capitalizing scrapping and counter cyclical sale and purchase opportunities. This theme of near-term difficulty followed by a more encouraging medium-term is continued on slide 11, where you can see updated supply and demand forecasts. Industry fundamentals weakened through 2015 but the outlook is more positive but still fragile for 2016. Looking at the right hand chart, you can see that scrapping activity has been limited so far in 2015. Our product have temporarily stronger spot market charter rates and sentiment earlier in the year combined with the volatile scrap market with prices under pressure from cheap Chinese steel. The challenging spot market environment in the near-term is expected to accelerate scrapping activity contributing to a tightening in the supply of charter tonnage primarily mid-size and smaller ships in the medium-term. With that difficult near-term context in mind, I am turning to slide 12, we made the decision to divest Ville d’Aquarius on completion of her most charter which was on October 29th. Despite having benefited earlier in the year from a surge in rates for Panamax tonnage, the 1996 built vessel, the oldest in our fleet faced the prospect of coming off charter in to a spot market that has fallen below OPEX while idle tonnage has increased resulting in an environment in which re-chartering or idling the ship would have been cash flow negative. Furthermore, the option value that had at least until now prompted us to hold onto this relatively low spec vessel has meaningfully reduced as upcoming regulatory requirements for tail shop survey later this year and her 20 year special survey next year would have represented significant CAPEX commitments if we had decided to keep the vessel. We did of course but for trading -– but despite being widely marketed there was no serious interest at this time. As such we made a decision to sell the vessel for scrap. We will use the net proceeds either to partially redeem our 10% senior secured notes, we are required to tend to the net of proceeds to bond holders of 102 or to contribute to funding further accretive fleet growth. Consistent with our business model and as demonstrated by our sale and leaseback transactions with OOCL, our main focus for growth will continue to be upon vessel insulated from the spot market by contracted charter coverage. As you will see from the coming slides, we expect the difficult near-term environment will lay groundwork that will lead to recovery for the sector in the medium-term and beyond. Slide 13, shows how the global fleet has evolved since 2000 and there are a couple of key takeaways worth highlighting from the chart on the left. The first is that vessel upsizing and hence cascading are and have always been a fact of life in container shipping. The second is that since the global financial crises the industry has been adjusting to a lower demand growth paradigm. Nowhere is this more apparent than in the recalibration of the order book to fleet ratio which is the red line cutting through the chart which peaked at over 60% in 2007 and is now around 20% mark. The chart in the top right of the slide drove down in to the existing order book and makes the point that today’s overall order book to fleet ratio of 21% masked the fact that new buildings are overwhelmingly weighted towards big ships while mid size and smaller tonnage segments remain under represented with order book to fleet ratio of only 5.9 to 8.2%. Levels that when combined with scrapping could result in net fleet reduction in mid size and smaller segments in the coming years while demand continues to grow. Turning to slide 14, you can see that the fleet segments for mid size and smaller ships tend to be composed of all tonnage and most for larger vessels. Essentially the darker the column in the chart, the younger tonnage in that fleet segment and vice versa. This is a function of fleet upsizing over time meaning that ships at the top of the size spectrum almost inevitably tend to be younger but is also compounded by the fact with the German KG environment long the main source of capital for mid size and smaller tonnage has been largely moribund since 2008. What this suggests is that mid size and smaller tonnage segments are under invested, face lower fleet renewal risk than their larger cousins, and should have favorable supply side fundamentals going forward. Slide 15, looks at how different trade lanes are served by different size tonnage. The pale blue bars show the largest vessels deployed in a given trade, while the dark blue bars show the average size of ships deployed. Only six of the 24 trade shown employ vessel as large as 10,000 TEU while only one Asia Europe employee's vessels of an average size greater than 10,000 TEU. Notably of a global fleet of over 5000 container ships, less than 350 are employed Asia Europe. A contrast over 1600 ships, so almost a third of the fleet are employed in the intra Asian trades. Roughly 80% of these intra Asian ships are under 2000 TEU. What this demonstrates is that mid size and smaller ships are key to most trade lanes and should remain so for the foreseeable future even in the context of vessel upsizing and cascading. Liner operators not only consider the physical limitations of operations such as draft, key length and landside infrastructure but also the volume of cargo flows and commercial realities of a given trade. To use an analogy, an airline would no sooner employ a state of the art Jumbo on a small commute route than a liner would employ a 20,000 TEU vessel on a trade lane that sees only a quarter of that volume. So despite the media attention attracted by the very largest ships, mid size and smaller vessels are fundamental too and make up the vast majority of world containerized trade. So wrapping up this section our view on the market can be summarized in four main points. One, we expect the near term to be challenging for tonnage exposed with spot market. Two, we believe these challenges hold the seeds for recovery catalyzing accelerated scrapping and supply side tension in the medium-term that we expect to create attractive re-chartering opportunities when our next vessel charters come to an end in late 2017 and beyond. Three, mid size and smaller tonnages are highly relevant today and we are expected to remain so for the foreseeable future, with supply side constraints working to the benefit of lessors such as ourselves in the medium term. And finally, Global Ship Lease through our strong fixed rates contract coverage, extensive contracted revenue stream of $835 million and minimal spot market exposure is well positioned to weather the challenges of the near term and capitalize upon the opportunities that we expect to arise. On that note, I will pass the call to Susan to run through the financials.
Susan J. Cook: Thanks Tom. Please turn to slide 17 for a summary of our financial results for the three months ended September 30, 2015. We generated revenue of $42.2 million during the third quarter, up $8 million from revenue of $34.2 million in the comparative 2014 period, with the increase being primarily from the effect of our fleet expansion. We had one day unplanned off hire in the quarter for utilization of 99.9%. There have been only six days of unplanned off hires this year to-date. Vessel operating expenses were $12.7 million up slightly from the prior year period due to the larger fleet. Importantly the year-to-date average daily costs at $7,376 per day is some 5% down on a comparative period mainly due to lower crew and insurance costs together with the prior year including $141 per day for the costs of bunker fuel consumed by the two spot ships when they were idle and being positioned for their charters with the consortium. Our interest expense in the quarter was $12.1 million essentially the same as the comparative period. Net loss for the third quarter was $41.1 million after the $44.7 million impairment charge relating to Ville d’Aquarius and Ville d’Orion. And therefore normalized net income adjusted for non-cash items was 3.6 million for the quarter compared to a loss of $2.2 million in the prior year period. The next slide, slide 18 shows the balance sheet. Key items as of the end of quarter include cash at $23.8 million, total assets of $906.4 million of which $866.9 million is vessels, debt of $490.3 million which includes our bonds, the 40 million revolving credit facility, and the new $35 million facility drawn down during the quarter. And shareholder's equity of $395.3 million. Slide 19 shows the cash flows. The main points to mention here, our net cash provided by operating activities was 7 million in the third quarter and cash used in investing activities was $53.6 million which is for the purchase of OOCL and Ningbo. I would now like to turn the call back to Ian for closing remarks.
Ian J. Webber: Thank you. We are now on slide 20, to summarize we our focused on continuing to grow our fleet aggressively through charter attached acquisitions of medium size and smaller tonnage from top tier charters. We also look at charter attached transactions from other owners. We have increased our contracted revenues and EBITDA substantially through acquisition in this manner over the past 12 months or so and we are fully intent to continue on that path, which in turn [ph] increases our capacity to pay and support dividend. Following the imminent divestment of our oldest vessel, our exposure to the spot market over the next two years is restricted to a single ship representing under 2% of our overall revenue and even less as a percentage of our EBITDA. This vessel may also be divested in the near-term. The remaining 18 vessels are fully contracted through at least late 2017 with an average remaining charter term of 5.1 years bringing with that $835 million of contracted revenue. This provides us with almost complete insulation from near-term market volatility whether it would be cyclical or seasonal, we are currently in our low season right now and our historical utilization of close to 100% with our consistent and recently lowering cost base ensures that we realize maximum value and cash from our charters. Our balance sheet is strong and we continue to pursue opportunities to further improve the capital structure opportunistically. We have net no debt maturities until 2019 although we are able to call the 10% secured notes from April 2016, a few months away. We have almost entirely eliminated both restrictive maintenance covenants and short-term debt, giving us greater flexibility to pursue accretive growth and we passed the fixed charge coverage ratio that have previously limited our ability to pay a dividend on our common shares. After all of these reasons we believe that the way forward for GSL lies in further accretive vessel acquisition, while vessel values remain highly attractive. The long-term fixed rate contracts attached to these transactions support a stable and growing, potentially growing dividend payment with fleet expansion providing a clear lever for that dividend expansion as evidenced by our intent to increase the dividend by 25% to $0.1250 for the fourth quarter payable in the first quarter which will be for the benefit, which will benefit from a full contribution from Ningbo. With that we will be happy to take your questions.
Operator: [Operator Instructions]. Our first question comes from Mark Suarez of Euro Pacific Capital. Your line is now open.
Mark Saurez: Good morning Ian, Tom. Thanks for taking my questions here. Ian as you look at the SMP market are the other oil field vessels you could potentially go after and target are you seeing similar opportunities out there from other liners possibly of similar size, in sort of that 10 to 15 year range and if so can you potentially maybe go after fourth sister ship or another close Panamax vessel before the end of the year.
Thomas A. Lister: Thanks for the question. We really wouldn’t want to get to get granular on the investment opportunities. There are other 8000 TEU units out there, OOCL have some but other liner companies do as well. What we said previously that we are delighted to have executed three transactions with our OOCL. But they are not the only liner company out there and if we restricted ourselves to them or indeed to CMA we are missing out on vast number of potential opportunities. What we are committed to is the mid size and smaller tonnage. We are committed to charter attached transactions, sale and leaseback transactions, or the purchasing of vessels that have an existing charter from another owner who has to sell for whatever reason. And that we would continue with our focus at least in the short to medium term. 
Mark Saurez: Got you, so, but are you seeing maybe more attractive accretive opportunities on the medium to small size vessels given how Panamax and to a certain extent Panamax rates have behaved over the past two to three months if you will or is that not a fair assessment?
Ian J. Webber: No, I guess we are seeing plenty of opportunities. It’s very difficult to comment on whether there is an increased level of seller interest today than a year ago or two years ago. But for sure there are projects that we are working on.
Thomas A. Lister: And to add Ian’s remark Mark, the sort of pressure on spot market charter rates tends to feed through into the pricing of assets in the distressed environment. So effectively charter free asset prices and as Ian emphasized, the focus of our attention is very much upon charter attached transactions which provide a strong visibility on forward cash flows and as a result, the economics tend to be somewhat separated from what's going on in the distress market. 
Ian J. Webber: One final comment on that as I alluded to in my remarks with current challenging conditions in the liner sector. And many of the liner companies having an order book albeit far less than it used to be. There may be pressure on liner company liquidity and that may lead to increased levels of certain lease back activity difficult to tell but that’s certainly a possibility. 
Mark Saurez: Got you and following that sort of train of thought I know Tom you talked about some of these, the trade lanes that are more traditionally serviced by the small to medium size and I am wondering as you see these Panamax rates start to accelerate now go down as we go into the Q4 period, you think there might be a risk of some of these charter rates going below break cash, break-even levels, possibly below daily vessel operating expenses in the medium term as the cascading effect continues if you will?
Thomas A. Lister: You mean for other vessels in the market 
Mark Saurez: For other vessels in the market yeah.
Thomas A. Lister: Well look I mean looking back on when the market was really under pressure in 2009 in the immediate wake of the global financial crises, time charter rates in the spot market did tend to gravitate towards OPEX. So that may happen again. We are seeing it now but it is worth emphasizing that Q4 is typically the sort of seasonal low. So it is not necessarily representative of what you expect to see in for example late Q1, Q2, and Q3 of each year. So we will have to see Mark. But again that’s I am happy to say that because of our contract coverage that’s a secondary consideration for us really.
Mark Saurez: Okay, so you still think that the cascading effect may potentially continue or you think weakening sort of saturation point where there is only so much you can push out to Panamax vessels out of traditional freight lane that will be serviced by them, is that you think we can reach that level or you think we are near that level or you think we will have more room to go from a cascading effect?
Thomas A. Lister: Undoubtedly the cascading will continue. It has been a feature of this industry for 60 years. It never stops. As I said a number of times before when industry conditions are strong and demand growth is charging ahead 8%, 9%, 10%, 11%, 12% you never see the cascade, it’s not noticed. But when growth conditions are weaker and overall and ignoring Asia Europe for the moment, overall you are looking at 5% or 6% growth rates. It takes longer for that cascade to work through. Do we think that any asset class is ever going to become obsolete of itself? No, we don’t. Individual ships might, if they have got the wrong engines or low refill capacity or whatever. So I think the industry has learnt to deal with the cascade very well over the 60 odd years it’s been around. I think we will continue to have to manage the cascade but as Tom said, it’s the secondary importance to global ship lease because we have almost no exposure to the short-term market and we have strategically for the moment no focus on buying distressed tonnage.
Mark Saurez: Right, okay and then just lastly on your dividend policy I know you announced the dividend and the hike in the fourth quarter and assuming it is in line with the growing of the fleet and distributable cash flow and I am wondering if the Board had at some point considered a dividend payout structure tied to net income more distributable cash flow if you will given how meaningful your contracted revenues are at this point?
Ian J. Webber: Yeah I would give the same answer I gave last quarter Mark. We are very comfortable with the coverage that we have as I said 3 times covered on a cash distribution basis. We have to strike the balance between rate retaining cash for growth and delivering incremental EBITDA which could be available to increase the dividend. And we are convinced that we are earn rates of return superior to our overall costs of capital by investing in the business. We have always said that, that we wanted to introduce a meaningful and sustainable dividend. We have done that and we have indicated that there is capacity to grow the dividend from growth. But we have also said that I don’t think that we are committed to a payout ratio or a percentage of net income or anything like that. The Board will take into account the circumstances at the time of the acquisition environment, the state of the company’s balance sheet etcetera. But just to reiterate, we continue to be completely committed to a sustainable and meaningful dividend. 
Mark Saurez: Okay, great. I appreciate as always your time guys.
Ian J. Webber: You are welcome
Operator: Our next question comes from Charles Rupinski at Seaport Global. Your line is now open.
Charles Rupinski: Good morning and thank you for taking my question. I just had a question on as you are looking to acquire vessels that have charters attached, not specifically talking about the vessels that you currently have with the line of companies that you are currently contracted with but as you look for acquisitions from different liner companies, how much more of a concern is it, if any compared to the past about how strong the charter counter parties are in terms of maybe re-negotiating charter as they become more stressed, clearly that’s always an issue that I am sure you are looking at but given where we are now, and what we have seen in the last few months is this something that is becoming more of a concern or is it pretty much a steady state as it has been in the last cycle? Thanks.
Ian J. Webber: I don’t think Charles thank you for your questions, I don’t think the concern is particularly heightened because of the recent weakness in the container shipping sector. Our industry has gone through the worst downturn that it has seen ever through 2009, 2011, 2012, 2013 and it’s been the most sustained downturn ever. Yet the incidence of charter defaults well its negligible, but I am not aware of any whole scale charter default in the container shipping sector. We are certainly not complacent about it and we do adopt a conservative approach but I can’t say per se that the credit risk has significantly changed today from 6 months or 12 months ago.
Charles Rupinski: All right great. Well that’s a very good color and I appreciate your time. Thank you.
Operator: Our next question comes from Jim Marrone at Singular Research. Your line is now open.
Jim Marrone: Yeah, good day gentlemen.
Ian J. Webber: Hello.
Jim Marrone: My question is in regards to the impairment of 44.7 million this quarter. Can you tell us the impact on maybe future quarters as the result of the impairment on the past quarter, can you envision a positive impact as far as a reduction in operating expenses as a result of the write-down in the past quarter?
Ian J. Webber: Yeah, thanks for your question. The impairment was triggered for Aquarius by our decision to sell the vessel. She has been sold, we have given you the metrics for that and we have let you know that we expect that sale to be completed by the end of November, hopefully well before the end of November. Obviously selling the ship extinguishes operating costs completely. It extinguishes depreciation on the ship and given until the last three or four months anyhow would probably been operating slightly cash negative on these ships. On a sort of a longer-term basis, the disposal of the ship will be marginally positive to a 12 month track record of EBITDA. And we also obviously avoid dry-docking expense and on expected heavy maintenance expenditure on that vessel. And all I can say about the other vessel Orion is that if she is sold then we will have the same effect -- positive effect on our earnings record from that ship. 
Jim Marrone: Okay, thank you. So you can expect some type of margin expansions in the next two to three quarters as a result of the impairment then?
Ian J. Webber: Well as I said, we were marginally cash positive on these ships in the last quarter or so from the higher charter rates that we agreed in the summer of around $11,000 a day. We were marginally cash negative before that charter because we were earnings $7000 to $8,500 a day. So all things equal there may be a small margin expansion on the last 12 month basis. But it’s not going to really be anything to write home about.
Jim Marrone: Yeah, okay thank you. Just a follow-up question, so I understand from your comments that an acquisition -- the acquisition costs would be higher on those with charter back acquisitions? 
Ian J. Webber: I don’t think we covered that on the call but yeah, typically if are buying a ship and in the money charter attached you will pay more for that vessel than you would for a ship that has no charter and no earnings attached to it. And that’s part of the economic assessment that we make, when we go through our rigorous and cautious investment appraisal prior to presentation of any project to the Board.
Jim Marrone: Okay and so can you provide any light as far as what kind of target IRR are you looking at when you make these acquisitions and how does that compare to your costs of capital?
Ian J. Webber: Well what we have said in the past and we have illustrated with the transactions we have executed is that we are looking for immediately cash accretive acquisitions generating free cash flow yields unlevered in the mid teens. And the three OOCL ships generating around 17% or more on a free cash flow yield basis unlevered. And internal rates of return we are looking at teens, low teens, maybe a little bit higher and clearly that has to be above our cost of capital otherwise its value destructive. 
Jim Marrone: Okay, thank you gentlemen.
Ian J. Webber: Thank you.
Operator: [Operator Instructions]. Our next question comes James Fold [ph] of [indiscernible] Corporation, your line is now open.
Unidentified Analyst: Yes, I am disconnected I have given that your dividend rate is the highest in the industry, your dividend coverage at three times has got to be close to the highest. Your EBITDA ratio is the lowest, your debt to equity ratio is the lowest, your interest rate will be declining, and I just don’t understand why the stock has not responded and maybe you can give some clarity on that?
Thomas A. Lister: Well it’s kind of tough for me to comment. You really have sort of talk to the buy side and the sell side. We do what we can to explain the -– I agree with everything you said by the way. We do everything that we can to educate the market, to reinforce the messages, but we have this immensely stable business model here that generates predictable cash flows over the long term. We are well covered on the dividend as you have noted. We have said for two or three years that when we introduce a dividend it will be sustainable and meaningful and we have now done that. We said that to be able to introduce a dividend we would need to grow and we would need to grow on immediately cash accretive basis and we have now done that. We have increased EBITDA, run-rate EBITDA by over a third in barely 12 months. However, the equity market is the equity market and to a degree I think we have been negatively affected by the general softening of shipping markets overall. Many investors are less discriminates and if things go bad globally, with the global economy the whole shipping sector gets hit, irrespective of the individual attributes of individual stocks but more than that I really can’t say. 
Unidentified Analyst: Have you come to the U.S. for conferences and presentations and do you plan to do so.
Thomas A. Lister: I have come to the U.S. multiple times for conferences and presentations and yes, I do intend to continue to meet with investors buy side, sell side, existing investors, potential investors. It’s an important part of my job.
Unidentified Analyst: Thank you very much. 
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back to Ian Webber for any further remarks.